Operator: Good morning, and welcome to the Bunge Limited First Quarter 2022 Earnings Release and Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded I would now like to turn the conference over to Ruth Ann Wisener. Please go ahead.
Ruth Ann Wisener: Thank you, operator, and thank you for joining us this morning for our first quarter earnings call. Before we get started, I want to let you know that we have slides to accompany our discussion. These can be found in the Investors section of our website at bunge.com under Events and Presentations. Reconciliations of non-GAAP measures to the most directly comparable GAAP financial measures are posted on our website as well. I'd like to direct you to Slide 2 and remind you that today's presentation includes forward-looking statements that reflect Bunge's current view with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Bunge has provided additional information in its reports on file with the SEC concerning factors that could cause actual results to differ materially from those contained in this presentation, and we encourage you to review these factors. On the call this morning are Greg Heckman, Bunge's Chief Executive Officer; and John Neppl, Chief Financial Officer. I'll now turn the call over to Greg.
Greg Heckman: Thank you, Ruth Ann, and good morning, everyone. I want to start by thanking our team for their continued dedication and strong execution as we navigate volatile commodity markets that have been further disrupted by the war in Ukraine. The team has done a great job remaining focused on our highest priority, the safety of our employees. We are actively supporting our colleagues and their families to provide what resources we can to help them through this terrible crisis. Last year at this time, we were talking about a different shock to the markets, the impact of COVID. And here we are a year later, and the lingering effects of COVID are still with us. And now we face the interrelated headwinds of continuing supply chain issues, challenging weather patterns that have reduced the production of palm, canola and soy and government policy reactions, while now further complicated by the Ward in Ukraine. These market disruptions are rerouting many traditional trade flows and contributing to crop price inflation. Our team continues to manage through these challenges with great agility and a shared sense of purpose, to connect farmers to consumers, delivering essential commodities and food to communities around the world in a safe and sustainable way. Our ability to improve our day-to-day execution while also delivering on significant growth projects is a credit to the hard work of the team to transform Bunge into a more global integrated company. Working together with a collaborative approach has improved our ability to use our extensive global platform and collective expertise to help customers on both ends of the supply chain, effectively respond to the additional market pressures that have increased their operating risk. Turning to first quarter numbers. We continue to build on our positive momentum, delivering year-over-year earnings growth for the tenth consecutive quarter, with all segments of the business contributing to the strong performance. While we incurred losses in our Black Sea operations, our team effectively responded to the situation when industry margins spiked globally due to the combination of continued strong demand and an even tighter supply outlook. In Refined & Specialty Oils, strong results were largely driven by North America refining. Our team used the optionality of our complete portfolio of oils, our global network and our technical expertise to help customers solve their supply challenges. Results in milling were also higher, with our team having effectively managed the supply chain and input cost volatility. Furthering our strategy, this quarter, we made an important step in our effort to identify opportunities to reduce carbon in our value chains through our recently announced commercial partnership with CoverCress. Expanding the support for this new winter oilseed crop is an ideal way to produce a lower carbon intensity feedstock that can help meet the growing demand for renewable fuels. We believe rotational cover crops can play a key role in our joint venture with Chevron to supply inputs to the renewable fuels industry. Along those same lines, we continue to make progress in simultaneously advancing our commercial and sustainability approach in South America. We've expanded our soy origination network through minority investments in resellers that purchase from smaller farms. This business strategy has also allowed Bunge to accelerate traceability efforts to support our progress toward our commitment to be deforestation-free in 2025. Before handing the call over to John, I want to spend a moment on our outlook for 2022. Back in January, we said we expected to deliver adjusted EPS of at least $9.50 for the full year. Based on what we can see today, we're now expecting to deliver adjusted EPS of at least $11.50 for the full year 2022. As usual, this outlook is based upon our current visibility and the forward curves for the balance of the year. I'll hand the call over to John now to walk through our financial results in detail. And then we'll close with some additional thoughts
John Neppl: Thanks, Greg, and good morning, everyone. Before I get started, a few additional comments about the situation in Ukraine. We have over 1,000 employees there, and are thankful that as of this date, there have been no reported casualties or injuries among our team. Within the country, we have two oilseed processing facilities, a port, several grain elevators and administrative office in Kiev. As has been previously reported, our port facility sustained damage. However, based on initial visual inspections, the damage does not appear to be significant. Beginning late March, we restarted certain commercial and operational activities, primarily exporting grain via rail and truck. However, these activities have been extremely limited. While the region is an important part of our global footprint, the total value of the assets is about 2% of Bunge's consolidated asset base. Now let's turn to the earnings highlights on Slide 5. Our reported first quarter earnings per share was $4.48 compared to $5.52 in the first quarter of 2021. Our reported results included a positive mark-to-market timing difference of $0.40 per share and a negative impact of $0.18 per share related to one-time items. Adjusted EPS was $4.26 in the first quarter versus $3.13 in the prior year. Adjusted core segment earnings before interest and taxes, or EBIT, was $858 million in the quarter versus $737 million last year, reflecting higher results in all segments. Agribusiness started the year strong. In processing, the U.S., Europe and Brazil reported higher soy crush results, benefiting from improved margins due to strong demand. Those results were partially offset by lower results in softseed crush in Europe and China, which were negatively impacted by tight seed supplies and higher costs. Merchandising had a good quarter. However, results were down compared to a very strong prior year, reflecting lower results in our global grains and financial services operations. In Refined and Specialty Oils, higher results in the quarter were largely driven by improved margins and volumes in North America, which benefited from strong food and fuel demand. And results in the other regions were slightly lower compared to the prior year. In Milling, higher results in the quarter were driven by South America, which benefited from higher milling and upstream origination margins, partially offset by increased industrial costs. Higher margins and volumes in the U.S. also contributed to the improved performance. The decrease in corporate expenses during the quarter was primarily related to the timing of performance-based compensation accruals. The loss and other was related to our Bunge Ventures investment in Benson Hill. Results in our noncore Sugar and Bioenergy joint venture were primarily driven by higher ethanol prices. For the quarter, income tax expense was $108 million compared to $192 million for the prior year. The decrease in income tax expense was primarily due to lower unadjusted pretax income, releases of valuation allowances in Europe and Asia, and tax benefits associated with equity compensation payments. Excluding a $47 million one-time expense related to the make whole on the early extinguishment of our 2024 bonds, interest expense was $64 million, down from last year, which primarily due to lower average debt levels. Let's turn to Slide 6, where you can see our positive EPS and EBIT past five years. Not only does this validate the resilience of our global platform, but also demonstrates continuing strong performance by our team to successfully manage numerous transformation initiatives in different market environments over the past three years. As shown on Slide 7, addressable SG&A was relatively flat year-over-year. However, similar to other companies, we too are experiencing inflation, and we are working to mitigate it where we can. After two years of COVID-related impact, we do expect higher addressable SG&A in 2022, reflecting increased travel, investments in our people, process and technology, and in growth initiatives to strengthen our capability to drive future value. While our investments in technology should bring productivity gains over time, we do expect net incremental spending in the near term. Slide 8 details our capital allocation of the nearly $700 million of adjusted funds from operations that we generated in the first quarter. After allocating $49 million to sustaining CapEx, which includes maintenance, environmental, health and safety, and $8 million of preferred dividends, we had approximately $639 million of discretionary cash flow available. Of this amount, we paid $74 million in common dividends, invested $56 million in growth and productivity CapEx, leaving approximately $510 million of retained cash flow, which was invested in additional working capital. In March, due to the strong performance of our share price, our 4.875% perpetual preferred share is converted to common shares. This conversion simplified and strengthened our capital structure. Leading up to our May Shareholders Meeting, we will again review our common dividend, giving strong consideration for a higher baseline, the success in strengthening our balance sheet and our improved earnings outlook. With our strong balance sheet and cash flow generation, our credit metrics stand at our target levels of BBB with Fitch and S&P and Baa2 with Moody's, putting us in a position to allocate capital to the best opportunities. And as we have demonstrated in the past, we will continue to maintain a disciplined and balanced approach. As you can see on Slide 9, at the quarter end, readily marketable inventories, or RMI, exceeded our net debt by approximately $2.8 billion, a significant change from a year ago. This reflects the positive trend of our underlying cash flow that's allowed us to invest significantly in inventory with only a small increase in debt. Slide 10 highlights our liquidity position, which remains strong. At quarter end, we had approximately $5 billion of our committed credit facilities unused and available. This provides us ample flexibility to manage our ongoing working capital needs in this volatile commodity price environment. As shown on Slide 11, our trailing 12-month adjusted ROIC was 21%, 14.4 percentage points over our RMI adjusted weighted average cost of capital of 6.6%. ROIC was 14.4% or 8.4 percentage points over our weighted average cost of capital of 6%. The spread between these return metrics reflects how we use RMI in our operations as a tool to generate incremental profit. Slide 12. For the trailing 12 months, we produced discretionary cash flow of approximately $1.9 billion and a cash flow yield of 20.2%. Please turn to Slide 13 and our 2022 outlook. As Greg mentioned in his remarks, taking into account the current margin environment and forward curves, we've increased our full year 2022 adjusted EPS outlook to at least $11.50 per share, a $2 increase. In Agribusiness, full year results are expected to be higher than our previous outlook, but still forecasted to be down from last year due to lower results in merchandising, which had a particularly strong prior year. While we are not forecasting the same magnitude of margin-enhancing opportunities that we captured in the past year, we do see potential upside to our outlook as strong demand and tight commodity supplies continue. In Refined and Specialty Oils, full year results are expected to be up from our previous outlook and higher than last year, driven by strong demand from food and fuel in our North American and European businesses. In Milling, full year results are expected to be up from our previous outlook and significantly higher than last year, primarily due to our better-than-expected first quarter results. In Corporate and Other, results are expected to be favorable compared to last year. Additionally, we now expect the following for 2022: an adjusted annual effective tax rate of 16% to 18%; net interest expense in the range of $250 million to $270 million; capital expenditures in the range of $650 million to $750 million; and depreciation and amortization of approximately $420 million. In non-core, full year results in the Sugar and Bioenergy joint venture are expected to be in line with last year. With that, I'll turn things back over to Greg for closing comments.
Greg Heckman: Thanks, John. So before turning to Q&A, I just want to offer a few thoughts. I know I've said this many times, but I want to reiterate again how incredibly proud I am of our team. We often say that markets are dynamic, but the past three years have been unlike anything I've experienced in my career. Our team has shown great resiliency, discipline and a strong commitment to helping solve problems for our customers at both ends of the supply chain. As we look ahead, we know that markets will continue to be volatile as questions around the war in Ukraine, the eventual crop production levels, supply chain challenges, government policy reactions and COVID all have yet to be answered. Regardless, I'm confident that our Bunge team is prepared to execute in the face of these and the other challenges that lie ahead. So now let's open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Adam Samuelson with Goldman Sachs. You may now go ahead.
Adam Samuelson: Yes. So Greg, John, I guess my first question, just thinking about the performance in the first quarter and really the last two years, and I know you only introduced this last July, but the $7 baseline, it seems like we're operating pretty dramatically above that level right now. Seemed like the market environment would suggest that can continue for quite some time. And I'm just -- would love to hear you reflect about some of the things that maybe aren't in that, whether the capital allocation related to maybe have the soy crush environment might have some structural tailwinds to it that just -- how you're thinking about that $7 baseline today given the demonstrated performance, balance sheet optionality and the cyclical environment?
Greg Heckman: Sure. Thanks, Adam. Yes. Let's remember, First of all, the $7 baseline was creating an earnings framework. And as we spoke about last time, the environment currently globally, we believe we're going to be well in excess of that for the next couple of years. And I think what we've seen with the tightening supply situation around the world, continued strong demand. And now what's developing in Ukraine and the Black Sea with that being an important supply area, that's really an elongation of that trend. We continue to have well above what was in that earnings framework in crush margins for our soy operation, for our soft operation. We have seen, of course, refining and premiums -- refining premiums improve in -- first in North America on the back of renewable diesel demand, but we also have not seen a drop-off. Here post COVID, we're seeing food demand at five-year levels as well. So, we saw that improve in North America, and that gave us the confidence, as we talked about the -- we expect that to continue for at least a couple of years here. And now with higher energy prices, which is also supportive for biofuels globally, and with what has happened in -- with the war in Ukraine, we're seeing now refining premiums improve in Europe and really globally. So, we're really seeing good participation everywhere. And then of course, the merchandising segment where we talked about it's the hardest to predict, but really seeing benefit across the full chain as we are helping manage this volatility and helping solve problems. I might let John put a finer point on some of the things that aren't in the model around capital.
John Neppl: Yes. Thanks, Greg. Adam, as we've mentioned before, the $7 baseline didn't include any growth CapEx. And so obviously, we've got a pretty robust pipeline of opportunities today in the range of $2 billion of projects that are in the pipeline. Maybe not all those will get done. We'll see. We may identify other opportunities as well. But we're very confident that with prudent capital allocation over the next couple of years, if and when the environment wanes a bit, we will have improved the baseline of this company by investing capital in good projects. So, we certainly feel like at some point here, we'll need to address the $7 baseline and give a better update on what we think what it should be.
Adam Samuelson: Okay. That's all really helpful. And if I could just follow up on the balance sheet and just -- how do you think about -- in the context of your committed credit capacity, your credit rating, your kind of dry powder today, just seemed like a really -- seems like opportunities will be presenting themselves on the M&A front that might not have been there a couple of years ago, that you're in a position to capitalize on that others might struggle with given liquidity constraints. So just any context on just where you think your capacity and dry powder is today.
John Neppl: Yes. I think we'd be pretty comfortable to say that we've got north of $2 billion of capacity today. And certainly, for the right opportunity, we'd be willing to stretch that in the near term, in the short term. We do feel like we're in a very strong position today with all of our metrics. And our leverage ratio is low, as low as it's been in a very, very long time. And I think we -- probably as importantly, I think we've got the people and the processes in place to manage some pretty significant opportunities.
Operator: Our next question will come from Ben Bienvenu with Stephens. You may now go ahead.
Ben Bienvenu: So I want to ask a little bit about the outlook. I know you guys have historically guided with what you can see, the curves, not necessarily a sustaining of what we're currently experiencing. But I guess if I think about the environment as we move through the year, what is there on the outlook, just thinking conceptually through things, that you think could potentially either further tighten or loosen the backdrop from where we're now? And if you could rank order those, both in terms of likelihood and magnitude that would be helpful for us to think about.
Greg Heckman: All right. Sure. Let me start. Yes, you're correct, why we always look at the forward curves and what they're telling us in our outlook, rather than try to predict where that will end up. And as we get visibility to that, we've rolled it forward with you. Let's talk about the supply side and weather. Of course, that's going to be real key, as tight as the marketplace is. We need to get this crop in the U.S. here in North America planted. And we need to see good weather. We do need a large crop. So that will be a key indicator of how tight things stay. We'll need to continue to -- within there, also watch the Canadian crop develop. If you remember, Canadian canola was -- and wheat, but primarily canola was impaired by weather last year. And so we're going to be tight there until we get to new crop. And then, of course, the supply chain disruptions caused by the war and the reactions to that is we're kind of redrawing origin destination pairings in the world to be able to continue to serve people. And then on -- the other key on the supply side, of course, is Brazil, the farmers and -- with the crop being trimmed back a little bit by weather on the sale of soybeans. It will continue to see how that develops late in the year from a selling pattern. Of course, FX is always a concern for the farmers. And then we're in a political year, election cycle, and that also tends to keep them a little closer to home. And then Argentina, of course, we're a little tighter because, again, Paraguay and the Argentine crop trim back slightly. So we expect the farmer to continue to be fairly tight there. So, those are kind of the big drivers on the supply side, with the U.S. being probably the biggest magnitude on its own. And then on the demand side, things are extremely tight on oil, mill and wheat, definitely less so for corn. So anything that affects that. And so if we would get a big price in -- price spike due to weather would be any demand destruction. Now we're not seeing any demand destruction of any magnitude to date, but that's one we continue to watch closely. And that would be, I think, the biggest one on the demand side, and then continue to watch the consumers' reaction overall. And then, of course, COVID is the last big wildcard and what that could do to demand. And China is always a huge driver. And of course, that's in the spotlight right now. So, I don't know, John, if there's anything?
John Neppl: I think you covered it pretty well.
Ben Bienvenu: All right. Yes. Very helpful. My second question is revisiting your comment on the U.S. crop. I know it's very early. And I can think back to years where, even in having bad weather, yields were largely un-impacted, 2019 comes to mind. As you look at kind of the key milestones as we move through the summer, what are dates in your mind for moments of visibility? So kind of a plant by date and in prevent plant dates are important, and then kind of monitoring weather once the crop is harvested, thinking about what the ultimate impact to yield is. Just kind of help us think through a critical path through the summer?
Greg Heckman: Yes. I think you're correct, right? That over time, as the technology and the seed has gotten better, as farming practices have gotten better and practice around nutrients have all gotten better, it seems like it doesn't mute the yields. There's not the same volatility of yields we saw in the past. And that's a good thing, right? But the first one is watching the weather. And while there's concern, we're not concerned yet. But everyone is watching the weather patterns closely because we've got to get it in the ground and then make sure that how the mix of what gets planted between corn and soy is kind of as predicted or if that changes. And the weather can switch that a little, but not a lot. So we'll watch the planted acres, the dates that it gets in the ground and the crop mix. And then based on when it gets in the ground, then you start looking at the pollination and the weather cycles for that time of year. In watching the pollination, both crops in kind of those key developmental stages that affect yield. And then from there, we'll start watching harvest, right? And again, depending on when it got planted, when it matured, then where the harvesting is and what we believe the weather cycles are and what that does to the percent of harvested acres as well as the quality of the crop that we're bringing in. So, those are kind of the drama that we live every year in each region around the world. And I don't think it will be a lot different this year.
Operator: Our next question will come from Steve Byrne with Bank of America. You may now go ahead.
Steve Byrne: Yes. I have a couple of questions about the forward strip in soybean oil. It looks to moderate a little bit over this next year, but then stay kind of near $0.70 over the next couple of years. Two questions on that. One being, would you say there's more risk that that strip moves up or down from here? And then secondly, if it's up or even it stays where it's at, do you have any concern about basically the cost compatibility competitiveness of using soybean oil as feedstock for renewable diesel? Is that a concern for all that capacity under construction in your view?
Greg Heckman: Yes. The first I'd say is kind of how I'd say what the market can -- the two biggest factors the market continues to watch and the drivers out there, right, are going to be palm, which has been disappointing on production for the last couple of years. And I think the market believes that now we'll start to see a little bit of a rebound on palm production. I think the market is reflecting that. If that doesn't happen, that would probably be friendly. And right now, there's a number of different scenarios, I think, that people are looking at for when you see the Black Sea come back online or not on the sun oil and at what percent of that sun oil production, which is really important to the global S&D on oils. And I think that's the other big flag to watch closely. And the market is reflecting what people believe today, and that's changing daily. I think as far as competitiveness, I think if you listen to the energy companies and as we continue to watch them put their money where their mouth is with capital and this being a key part of the green transition, of the decarbonization is that we can do this at scale to help part of that transition to a lower carbon future. We don't see any change in the commitment of that. So I believe that we'll continue to be an important part of that transition, vegetable oil and -- as a renewable feedstock as well as developing cover crops and some of the other technology and some of the other changes that will come. And that's why we've got a great partner like Chevron, and we're working end to end try to innovate with them and really understand what changes we'll make in the areas where we're expert in the ag part. What areas -- changes they'll make in the areas where they're expert on the energy part as it continues to move forward. And I'd say the other is, as we said, higher energy cost. I mean they don't only kind of work through everything, including food in that. But higher energy prices look like they are here for the foreseeable future for the next few years. And that also is supported, of course, to what price the renewable feedstock of the venture oils can be. So we're pretty constructive on the setup right now for the next few years. And that's some of the confidence that we've got and feel good about where we've got the Company positioned.
Steve Byrne: And regarding your agreement with CoverCress, have you estimated the benefits to the economics of producing RD from CoverCress-derived oil, presumably the lower CI score would generate more credits? And for your own participation in that, do you intend to maybe get directly involved in directly funding for contract growers to start producing this cover crops starting this fall after the corn harvest?
Greg Heckman: Yes. We're really excited about the partnership with CoverCress and with Chevron and how that pulls together. As we get closer to our plans in the future, we'll begin to roll those out. But yes, I mean, you've hit on the right things. This is a great extra source of revenue for producers when we're able to activate it. And this goes as planned will be a very low CI score and a great -- another great source of feedstock. So, it's one of the things we're excited, why we're invested. It's more work to be done, but it's just one of the exciting things I think is going on in the space. And I think we're going to see a lot of change going forward. And I really like where we're positioned as Bunge to participate in these things and be able to maneuver and react to the changes.
Operator: Our next question will come from Vincent Andrews with Morgan Stanley. You may now go ahead.
Vincent Andrews: All right. Greg, could you just talk a little bit about -- I know your guidance assumes what we see in the futures curves. But maybe you could talk about how far out you're able to book with those curves and how far out you've chosen to book with those curves at this point?
Greg Heckman: Yes. As usual, the first 90 days is where the majority of the liquidity is. And then it begins to get less liquid in the second and third quarter as we look out. So, we continue to be prudent about locking in those margins where we believe they need to be and where we believe that they've got some space to run. Those would be the parts that we'll wait to hedge. So, I think overall, if you look at continued strong oil demand and continued strong mill demand, and what we see going forward, even where the curves aren't reflecting it, and some of that as we talked about because uncertainty about when those seeds or beans are going to come to market -- we believe that the market is going to do its work, and it's going to call for that crush to operate. And it's going to have to do that with higher margins. And we're not sure how much or when. So we're looking at the curves and say we're not smarter than the market. But as we get there, we believe this team will capture every dollar that's possible. And as we give visibility into that, we'll still share it.
Vincent Andrews: Okay. And then I just had a follow-up on the comments before about the excess liquidity. And I think, Greg, you said kind of $2 billion you'd be willing to allocate. I just wanted to connect that with what you thought your GAAP cash flow would be based on the existing -- just take the low end of the full year guidance. Are we done with the working capital builds assuming commodity prices stay where they are? And what amount of cash would you expect to generate? And then when you think about putting an incremental $2 billion to work, what metrics are you thinking about in terms of ratios, that gives you comfort that $2 billion is the right number? And how would you frame it?
John Neppl: Yes. Vincent, this is John. I can take that. Look, we -- in terms of working capital levels, it's obviously going to be driven primarily by price level. And I would say, typically, for us seasonally, Q1 and Q2 are usually the peak depending on which quarter. But quite often, Q2 ends up being our highest quarter. That's driven by volume, but price surely will have an impact on that. And so we'll watch pricing. I think working capital levels today are high historically at a high level. But what we've always found is that in times of high volatility, high prices and high volume, it's when we have the opportunity to make the most money. And so, we've certainly positioned ourselves from a balance sheet perspective to be able to manage through this current environment. So, we feel very good about that no matter what happens over the next several quarters. From a cash flow perspective, we generated nearly $3 billion of EBITDA last year. And just depending on the forecast this year, obviously, 1150 is a little below that, but still expect to generate a good strong amount of cash. And as we look forward on capital allocation, and we talked about a $2 billion pipeline, but we've also got -- we're going to be generating cash as we go as well. So we definitely feel like driving this dry powder number today is driven by what we're comfortable with in terms of our leverage ratio. We're low -- we're just between low end of between 1 and 1.5 on a leverage ratio perspective. And really to maintain a comfort of our rating, we'll go to the high as 2.5. And plus on top of that, the cash flow that we're generating. So we feel pretty good about where we are from a cash flow. We've been lucky to be able to invest that in working capital and not have to increase debt by a material amount. But certainly, as working capital goes down over time, and it will things are cyclical, prices will come down at some point and working capital will go down, you'll see a lot more cash generated back onto the balance sheet.
Greg Heckman: Yes. I may just put one finer point on that. I'd just say, overall, one of the things that we are excited about is we've got the best pipeline of organic projects and the best pipeline of acquisitive targets that we've had put together since we're here at the Company. So, we know what we want to do. We're going to be disciplined about it and be very careful how we execute, but excited to be in this position.
Operator: Our next question will come from Thomas Palmer with JPMorgan. You may now go ahead.
Thomas Palmer: Maybe just to kind of circle back on the guidance, and I know there have been a couple of questions about this. I just want to make sure I understand what the $2 boost to your outlook was really for. I mean, is the implication, you came in as it played out stronger in the first quarter the second quarter is off to a strong start. And you're kind of leaving the back half unchanged, even though you've outlined reasons why it could be better than you had assumed previously. Is that right? Or are you also looking at -- in the guidance itself a stronger back half as well?
Greg Heckman: No. You've got it right. We're putting -- we're definitely reflecting what we've seen from performance here in Q1, what we could see in Q2 and then the curves for the back half. Things like if you look at our refining specialty oils business, where we talked earlier, we thought that'd be about 600 for the year and plus or minus 150 a quarter. And that came in around 180 here in the first quarter. And then when we look out forward, we've got the highest bookings on for the balance of the year. So that gives us some visibility and confidence into that. And what's interesting, as I said earlier, the food volumes aren't down, although the fuel customers actually have a higher percentage booked for the balance of the year. The food customers have a higher percentage booked than normal, but they're lagging a little bit. So we expect that business to come and what we can see. So, some of that visibility gives us confidence there. And then what we're seeing around the tightness on the S&Ds and kind of the momentum not only in the crushing side of the business, but in the distribution side. I'd say one thing, as we manage through the conflict and the challenges and we had to redraw the supply lines as we run this business as a global company, the one thing that we haven't lost is our great regional footprints, the amount of capillarity and granularity we have with our origination systems, with our distribution systems, with our knowledge of the S&Ds and our ability to execute. And I think that's a great testament too, even with the losses in the Black Sea area here in Q1 and all the changes that we had to make the performance of Q1 of the Bunge machine and the outlook that we've given.
John Neppl: I would just add to that, Greg. From a crush perspective, in the first half year, we've seen probably better-than-expected crush margins in North America versus our prior forecast. And then they've come down a bit in Asia and South America, especially out in the curve. But that's where the most opportunity will lie as we go forward here. And so when we say at least 11 50, I think our upside if there is some there will be in the forward curves as we progress through the year and also in our merchandising business, where we have a pretty modest forecast in for the year because that one is always a little bit difficult to predict. But certainly, when the opportunity is there, the team does a great job with it.
Thomas Palmer: Thanks for that detail. Appreciate that you're not at this point ready to go into maybe financial details on CoverCrest. But maybe just -- is this a business that you can use your existing crush infrastructure to process? Or are there investments needed? And then just any type of time line, I think this year is kind of its first commercial rollout, if I had seen that correctly. So what's kind of the even rough time line? Are we still a few years out for meaningful contribution?
Greg Heckman: Yes, yes. It's out into the future before any meaningful contribution. But yes, we'd be involved of commercializing it. There would need to be some investment in the plants, but it's incremental.
John Neppl: Yes. I would just add that we've got planned projects in place today that are -- that have been approved and underway to be able to accommodate processing CoverCress at our selected facilities, especially those related to the Chevron JV. So it does take time for farmer adoption, obviously. And we've been very active in working with CoverCress on that, and feel very comfortable with where we're headed, and very optimistic that this is long term is going to be a great addition to the portfolio.
Thomas Palmer: But anything new takes time for adoption and get to scale.
Operator: Our next question will go from Ben Theurer with Barclays. You may now go ahead.
Ben Theurer: Perfect. And results. Just two questions. One is a quick one on your increased guidance on the finance cost. That's really just a reflection of that $39 million redemption fee, correct? It's not that you have higher capital needs for the working capital that's been discussed. It's just that fee, correct?
John Neppl: In terms of the higher interest cost?
Ben Theurer: Yes.
John Neppl: Yes. No. Well, I think we're -- we've looked at what we expect for working capital levels for the year. And taking out that cost, it will be driven by working capital being higher. And so that's a little bit why we called it up.
Ben Theurer: Okay. Okay. Perfect. And then my second question, it almost gets by the minute less relevant, but I still want to ask it. I mean, we saw over the last couple of weeks a relatively strong BRL. And obviously, farmers in Brazil are -- tend to be more reluctant selling with a stronger currency. How have you seen over the last couple of weeks some of the impact here on the BRL strength? I mean, obviously, just last two days, it depreciated and might turn around quicker than potentially expected a week ago. But still, how do you feel about the Brazilian farmer selling activity, which just seems to a little behind the curve what they're usually doing? So to understand how we should think about the supply out of Brazil and how that further plays a role within that global supply-demand tightness you've been talking about.
Greg Heckman: Sure. Not sure how much weight to put on real itself. But definitely, the curve reflects the margins aren't as good in the second half with the curves there in Brazil. And that is -- it's a direct concern about the farmer and their rate of selling, the rate of marketing the balance of the crop. And as we said, it's kind of the FX volatility, it's the concern about the election and the beliefs of what -- whether that will be better for them, and of course, a little bit smaller crop. And then they're watching the U.S. crop, right? They always want to see how the U.S. crop develops. We'll probably try to -- it will be too cold, and we'll try to drown it. And then it will be too dry all before we ever get it planted. So that could lead to some market volatility. And I think they've been pretty smart marketers about being patient this time of the year. And it looks like they've got a lot of reasons to do that, including the FX volatility.
John Neppl: I would add to that, Greg, maybe. We spent -- our team in South America have spent a lot of time and effort over the last few years building out -- continuing to build out origination footprint in South America, and in particular in Brazil. So, we're going to get our fair share. When the farmers are ready to sell, we'll be there. And even when they're not ready to sell, we'll be there trying to get them to sell. So, we feel very good about our position down there and that we're going to get equal to or more than our fair share down there.
Operator: Our next question will come from Rob Moskow with Credit Suisse. You may now go ahead.
Rob Moskow: Two quick ones. I just want to make sure I understand that the comments that you made and also your competitor made about how crush margins need to move higher in order to encourage processors. Can I assume that margins are already high enough in the U.S. in the back half to justify crushing, that really your comments are related to South America and Asia? And then the second question is, can you just remind us the hurdle rate on the $2 billion of projects that you have in the pipeline organically and 10%, 15%, like if we wanted to try to put an EPS number on it?
Greg Heckman: Yes. On the curve, yes, you're correct. We're speaking to the curves in South America and Asia. If you look at that, it says, we're probably going to have to see some improvement if demand stays where it is for oil and mill, which we believe it will. And that's where we think the market will have to do its work and call for that volume. And it's just not clear exactly when and where, but that you're correct on those comments. And then I'll let John take the second one.
John Neppl: Yes. Rob, with respect to hurdle rate, really, we look at -- on large strategic projects, we'll look at something. It's got to be 10% return. And then above that, as they get maybe into, I'll say, areas of the world where it's a little more difficult to do business or they're a little bit further outside the core business itself, we'll raise that hurdle rate higher depending. But I think if you use 10% maybe plus a bit, a small amount, it's probably a good rule of thumb. I think the one thing though I would caution is a lot of these projects are two- to three-year builds. And so, as we look at projects, there's not going to be return as we -- the first couple of years as we are building these facilities, for example. And so, you're really looking at 2025 before we see meaningful contribution from some of these projects.
Rob Moskow: Just a follow-up, John. Is there any way to kind of tease out what percentage of that $2 billion is related to alternative proteins? And are there already -- is there already capital in the ground for that?
John Neppl: We've done some. We've invested in a few opportunities. We talked about Merit earlier. I think sometime last year when we announced that. And we've got a few other investments in JV positions and some existing facilities. But the real big capital projects we have on the slate are still in development. But we talked about somewhere between $500 million and $1 billion over the next few years, if all those get approved. Now, I'm not suggesting all of them are going to get approved. They all have to stand on their own as we take them through the process, but it could be a substantial amount of investment if the opportunities continue to look good.
Rob Moskow: I'm sorry. The $500 million to $1 billion, that's within alternative protein or is that with something else?
John Neppl: That would be within alternative protein.
Operator: Our next question will come from Ken Zaslow with Bank of Montreal. You may now go ahead.
Zen Zaslow: My first question is, look, if I think about the Ukraine-Russia issue and obviously devastating and something that you don't want to capitalize on. But how long do you think this will create a void in the global supplies? And what is the process for which that we would recover? And the follow-on to that is, if it extends that long, longer than the year or so, is there extra cash or opportunities where you can actually deploy quicker than you may have anticipated given the unfortunate but true windfall of extra money?
Greg Heckman: Yes. Yes. It's a horrible situation. Our thoughts and prayers continue to go with all the people in the region. And we hope to get a quick resolution. Of course, we have no insight into the outcome. I'll say as far as outcomes, I think even if something -- whatever time line you want to pick, that there could be a resolution, in whatever scenario you have in your resolution, there will be a long tail on this because there is infrastructure that has been damaged. There are seaborne logistics that have to be untangled. There are waters that need to be demined. And all of that has a long tail on it and will be, in our view, a long period of time before you get back to exactly where that was from a production and not only production, but being able to move that production into the markets of demand that need it. So based on that, we are thoughtful about that on the money we're putting to work and how quickly we're putting it to work in our system, right? We're always looking at doing scenario analysis and building contingency plans. And so, no doubt, our strong global platform, and especially South America has got to play -- continue to play a bigger role in helping meet the need to help manage food security globally. And love the connection our South American network to our global network, and we'll continue to make those investments to drive things forward.
Zen Zaslow: In that vein, do you think that the last quarter and the last quarter before that, you said, look, we are going to be well above our algorithm or unicycle numbers for a couple of years -- more years. Does this either extend the duration to which you'll be able to be above that number? And/or does magnitude to which you will be over -- above that, or both? And then I'll leave it there.
John Neppl: Yes, both. So, we think it's -- yes to both. It increases the duration, how long, and we believe it increases the magnitude.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to the management team for any closing remarks.
Greg Heckman: Thank you, everyone, for your interest. And we look forward to speaking with you in the future.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.